Operator: Good morning. My name is Carmen, and I will be your host today. Welcome to Canfor and Canfor Pulp's Fourth Quarter Analyst Call. [Operator Instructions] During this call, Canfor and Canfor Pulp's Chief Financial Officer will be referring to a slide presentation that is available in the Investor Relations section of the company's website. Also, the companies would like to point out that this call will include forward-looking statements. So please refer to the press releases for the associated risk for such statements. I would now like to turn the meeting over to Susan Yurkovich, Canfor Corporation's President and Chief Executive Officer. Please go ahead, Susan.
Susan Yurkovich: Thank you, Carmen, and good morning, everyone. Thanks for joining the Canfor and Canfor Pulp Q4 2025 Results Conference Call. I'll kick off with a few comments this morning before I turn things over to Stephen MacKie, Canfor's Chief Operating Officer and the CEO of Canfor Pulp; and Pat Elliott, Chief Financial Officer of Canfor Corporation and Canfor Pulp. I'm also joined by Kevin Pankratz, our Senior Vice President of Sales and Marketing for Canfor; and Brian Yuen, Vice President of Sales and Marketing for Canfor Pulp, who will be available to take questions as well. Before discussing our fourth quarter results, I just want to highlight the significant transformation that Canfor has undertaken over the past several years. Our strategy is focused on strengthening our operating platform to reduce the impact of elevated duties, further diversify our asset base and product offering and improve our cost competitiveness. In that vein, since 2023, we've made the difficult but necessary decisions to close 9 high-cost sawmills, including 2 in 2025, with a total capacity of 2.3 billion board feet. At the same time, we've invested heavily in new facilities in the U.S. South, expanded our operations in Sweden and proactively managed our Canadian business in response to the challenges we are seeing accessing economic fiber in BC and elevated countervailing and antidumping duties as well as the more recent Section 232 tariffs. While 2025 was another challenging year, we have started to see the benefit of these strategic actions. And although the near-term uncertainty is likely to persist, Canfor is well positioned to navigate the challenging markets, supported by our high-quality globally diversified operating platform. Looking ahead, we continue to believe the medium- to long-term lumber demand fundamentals remain strong and the improvements to our asset base will enable us to capitalize on stronger market dynamics going forward. Finally, notwithstanding the current market uncertainty, we have maintained a strong balance sheet and have the flexibility to pursue strategic growth should the right opportunities present themselves, although we will continue to remain patient and disciplined in our approach. I'd now like to turn it over to Stephen to provide an overview of Canfor Pulp.
Stephen MacKie: Thanks, Susan, and good morning, everyone. Canfor Pulp continues to be impacted by weak global pulp and paper markets with ongoing trade disputes and broader economic uncertainty contributing to elevated inventory levels and weak pricing through much of 2025 and continuing into 2026. Against a challenging market backdrop, we continue to focus on achieving targeted cost reductions and improving our operating performance. While we have made some progress on identified initiatives in recent months, weak market conditions continue to weigh on our financial results and available liquidity with results in the fourth quarter further impacted by scheduled maintenance downtime at Northwood. Notwithstanding the pending transaction with Canfor, Canfor Pulp's management team remains committed to mitigating the impact of global trade dynamics and economic uncertainty by closely managing factors within our control. This includes managing our balance sheet, preserving available liquidity and continually assessing our operating footprint based on our cost structure, the availability of economically viable fiber and market demand. I will now turn it over to Pat to provide an overview of our financial results.
Patrick A. Elliott: Thanks, Steve, and good morning, everyone. In my comments this morning, I'll speak to our fourth quarter financial highlights, a summary of which is included in our overview slide presentation, as always, in the Investor Relations section of Canfor's website. Our lumber business generated an adjusted EBITDA loss of $8 million in the fourth quarter, $6 million lower than the prior quarter. These results continue to reflect weak lumber market conditions, particularly for Southern Yellow Pine as well as lower sales realizations in Canada following the introduction of Section 232 tariffs in the fourth quarter. Our European lumber business generated adjusted EBITDA of $42 million in 2025. However, weak demand and elevated log costs have contributed to losses in recent quarters. Given ongoing cost pressures in the region, we recorded a $214 million (sic) [ $250.6 million ] asset write-down and impairment charge in the fourth quarter, which has been excluded from our adjusted EBITDA. Looking ahead, we have started to see improvements in our underlying cost structure in Sweden and remain well positioned to navigate the current market challenges. While we expect European demand to remain relatively flat in the first quarter, constrained lumber supply across the region is anticipated to support higher pricing heading into the second quarter. In North America, industry-wide downtime in December has contributed to stronger lumber pricing to start the year, particularly for Southern Yellow Pine. Although near-term volatility is expected to persist, our lumber business is well positioned to navigate the current market dynamics, the transformation of our operating platform Susan previously mentioned. Turning to our pulp business. Canfor Pulp reported an adjusted EBITDA loss of $17 million in the fourth quarter, $14 million lower than the prior quarter, reflecting the ongoing impact of weak global markets as well as scheduled maintenance at Northwood. Canfor Pulp ended the quarter with net debt of $104 million and $40 million of available liquidity, while Canfor, excluding Canfor Pulp and the duty loan completed in 2024, ended the fourth quarter with net debt of approximately $226 million and available liquidity of $1.2 billion. Looking ahead to 2026, we anticipate capital spend of approximately $175 million in our lumber business with $35 million for Canfor Pulp, inclusive of capitalized maintenance. In addition, Canfor has also entered an agreement to acquire all of Canfor Pulp's issued and outstanding shares not already owned by the company and will receive the results of the shareholder vote later today. Following a write-down and impairment charge in the fourth quarter, it's highly probable that Canfor Pulp will reach its financial covenants in the first quarter, absent a successful transaction with Canfor. As Stephen mentioned, regardless of ownership structure, Canfor Pulp continues to review its underlying business as it looks to optimize and mitigate financial losses. Despite challenging market conditions and elevated capital spending in recent years, Canfor's balance sheet remains solid. With lower capital spending over the next several years, we believe our financial position provides flexibility to manage current market uncertainty and support potential strategic investments should the right opportunity arise. And with that, we are now ready to take questions from analysts.
Operator: [Operator Instructions] For our first question that comes from the line of Ben Isaacson with Scotiabank.
Ben Isaacson: Just a couple of questions. First one, Susan, for you. Just in the lumber market in North America overall, since the last conference call 3 months ago, have you seen an uptick in distressed assets and potential assets available for sale in the marketplace? And sorry, if not, are you surprised by that?
Susan Yurkovich: Well, I think there's no question, Ben, that the elevated duties that we're all paying is -- it's a big challenge for every company. It's putting a lot of pressure on companies across the country as we -- because those are cash deposits. So we know that, that's a challenge. Have I done an inventory or have asked all of our competitors exactly what their position is? No, but I know it's a challenge for us, and it's a challenge for everybody across the business.
Ben Isaacson: And then, Pat, for you, the $210 million in '26 CapEx guidance, I saw the split between lumber and pulp. But can you give a little bit more detail in terms of maintenance versus growth? Or maybe asking it in a different way, how much of that is discretionary?
Patrick A. Elliott: Yes, Ben, thanks. I think we've already identified one project, the sawmill we bought in El Dorado, Arkansas, there's a rebuild going on there. There's a number of other sort of smaller discrete projects with -- I'd say about 40% of the budget is on the discretionary side. The remainder is maintenance.
Ben Isaacson: Okay. And -- but on that discretionary, I mean, that seems quite committed. There's really not an opportunity for a pullback if markets deteriorate. Is that fair to say?
Patrick A. Elliott: Well, look, there's always opportunity to do that. I think we're committed to doing it. The balance sheet supports it. It's strategic, particularly in Arkansas as it relates to our facility there at Urbana as well and the synergies that come with doing it and kind of having 2 mills in that region. So I think we are going to proceed with it, but that's more of a choice.
Ben Isaacson: Understood. And then just final question is on the pulp inventory days of about 47, I think, you mentioned. Can you just give some historical context in terms of how much that has swung around in good times and bad?
Patrick A. Elliott: Yes. So Ben, thanks for the question. I would say for sure, inventories on the softwood side are well above the balance range. And if you use historically, that range has been in the high 30s to mid-40s at most. So again, assuming that balance is in terms of a balanced supply-demand fundamental, 40 days, we've got about a week's worth of inventory overhang sitting in the producers' hands. And when you're talking about a 25 million tonne market, that's about 0.5 million tonnes in there.
Operator: [Operator Instructions] Our next question comes from Hamir Patel with CIBC Capital Markets. I do not hear any audio from Mr. Patel.
Susan Yurkovich: No, we can't hear him either.
Operator: Well, at this time, there are no further questions. I will turn the call back to Susan Yurkovich for any closing comments. Please go ahead, Susan.
Susan Yurkovich: Sure. Thanks, operator. And Hamir, if you're having trouble with your phone, maybe just give us a call, and we'll try and help you out there. Thanks very much for joining us on today's call, and we'll see you next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.